Operator: Good afternoon, and welcome. Please note that the live and interactive webcast of today's call may be accessed via the Investor Relations section of the company's website at www.investors.on24.com. Upon completion of the prepared remarks, we will open the call for questions. Please note that this call is being recorded. At this time, I would like to turn the conference over to Lauren Sloane, Investor Relations for ON24. Please go ahead.
Lauren Sloane: Thank you. Hello, and good afternoon, everyone. Welcome to ON24's First Quarter 2022 Earnings Conference Call. On the call with me today are Sharat Sharan, Co-Founder and CEO of ON24; and Steve Vattuone, Chief Financial Officer of ON24.  Before we begin, I would like to remind everyone that some information provided during this call will include forward-looking statements regarding future events and financial performance, including guidance for the second quarter and fiscal year of 2022. These forward statements are subject to known and unknown risks and uncertainties. ON24 cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statements to reflect the events that occur after this call. Please refer to the company's periodic SEC filings and today's financial press release for factors that could cause our actual results to differ materially from any forward-looking statements.  We'd also like to point out that on today's call, we will report both GAAP and non-GAAP results. We use these non-GAAP financial measures to evaluate our ongoing operations and for internal planning and forecasting purposes. Non-GAAP financial measures are presented in addition to and not as a substitute for financial measures calculated in accordance with GAAP. To see the reconciliation of these non-GAAP financial measures, please refer to today's press release.  I will now turn the call over to Sharat. Sharat, go ahead.
Sharat Sharan: Thank you, and welcome, everyone, to ON24's First Quarter 2022 Financial Results Conference Call. We appreciate you joining us. On today's call, I'll review our Q1 results, highlight progress on our financial 2022 priorities and share how we are evolving our platform for a post-pandemic world to help unify digital engagement and first person data for enterprises across the globe. Our team is laser-focused on the strategic priorities that I laid out last quarter, and we believe that the new products we have brought to market in the last 2 quarters will be instrumental in increasing new business acquisition and improving customer retention. Let me begin with providing high-level results from the first quarter.  For the first quarter, we reported total revenue of $48.5 million. Subscription and other platform revenue was $43.5 million, and professional services revenue was $5 million. Ending ARR was $167.7 million, representing an increase of 3% year-over-year. As a reminder, ON24 ARR grew 90% in Q1 2021 from the year before. And over the last 3 years, our ARR CAGR is 38%. We believe ARR has reached across consistent with our previous communication and expect to see improvement in net new ARR in Q2 and throughout the year. As a reminder, the Q1 renewal cohort comprised a significant portion of large deal renewals, and we saw a handful of customers rationalize large expansions that took place during COVID that are up for renewal for the first take. The repeat customer cohort, which now comprises the largest portion of our business, continues to be stable with the churn from nonrenewing customers similar to pre-COVID levels.  Of the top 25 customer contracts up for renewal in the quarter, we did not lose any customer that was with us prior to Q1 2020. Our net ARR growth rate for this group of customers over 2 years ending Q1 2022 was over 70%. Looking past Q1, we anticipate churn within the first time customer cohort should improve as we move past the last of these COVID-influenced cohorts.  On the other hand, as the Ukraine Russia war unfolded, we saw softness in new bookings within our EMEA region, driven by the heightened macro uncertainty. EMEA has been an important growth vector for us, representing a little under 20% of our revenue in 2021 and outpacing the growth of our overall business in 2021. While we do not have any direct exposure to Russia or Ukraine, we believe it is prudent to assume that the current level of macro uncertainty, particularly in EMEA, will continue throughout the year. In addition, we are still in a period where customers are assessing their post-pandemic digital budgets. As a result, we have revised our full year 2022 outlook to reflect the potential impact to our business. Steve will discuss this in more detail.  Despite this uncertainty, we believe we continue to have a strong market position and continue to land new customers and expand with existing customers, showcasing that our digital engagement platform, particularly the first-party data it generates, is becoming a key driver to the success of an organization's revenue growth strategy. Attendee engagement, as measured by length of attendance and number of console interactions, reached another record high in Q1.  Looking ahead to the remainder of 2022 and beyond, our strategic growth agenda is focused on evolving our digital engagement platform for a post-pandemic world. Our customers are changing how they use our platform, and we are changing our platform to address the needs of our customers. We've launched 2 new products in the last 2 quarters, which significantly expands our platform. While it is early in the product life cycle, we've already closed a number of these deals and are seeing one of the fastest ramp in new products pipeline for these products. We also completed a tuck-in acquisition of VIBBIO, which will allow us to integrate additional video capability across our platform. And we have added 2 new seasoned Board members who have deep operational expertise and will help guide us on our go-to-market execution.  We believe that as organizations rapidly accelerated their digital transformation over the past few years, almost every aspect of the go-to-market motion, from sales to demand generation to partner enablement, has shifted to a digital-first engagement strategy. But as each function they use disparate tools with varying levels of reliability, it can result in issues with accessibility and compliance, inconsistent branding and levels of engagement and generate limited to zero first-party insights. This may result in a pattern of fractured digital experiences. Even more problematic, these fractured experiences may be siloed and disconnecting, resulting in fractured data that we believe is challenging for anyone in the business to use.  Our vision is to help businesses unify their sales and marketing, digital engagement and first-party data with a platform that powers all digital experiences: live, always-on, personalized or hybrid. Across their go-to-market functions, one unified platform for demand generation, field marketing, customer advisory boards, product marketing and partner enablement.  Our annual user conference, ON24 Experience, is scheduled for tomorrow. It will gather thousands of our customers, prospects and partners across the globe. We will showcase the evolution of our platform and highlight the success of our standout customers, including close to 70 who nominated themselves for the ON24 Experience Awards. Among the winners are companies like Home Depot, Humana, Very, Pegasystems, SAP, TOPdesk and Infinia, who are using ON24 experiences to transform their sales and market.  On our Q4 call, we laid out 4 key priorities for 2022: one, enhancing customer success and improving retention across our platform; two, driving an aggressive product road map for a post-pandemic world. three, enhancing our enterprise sales motion with multiproduct deals; four, strengthening our partner ecosystem and integrations, gaining operational leverage and further enterprise penetration and adoption.  Now I'll share the progress we've made against each priority during Q1.  Beginning with customer success. To improve customer success, we've increased our coverage ratios and brought on new senior talent. Our onboarding program has been completely revamped, and we've added new offerings to further shorten our customers' time to value. We've also improved the availability of data integration services and are building out a solution consulting team, who can help our prospects and customers architect a comprehensive implementation of multiple products on our platform. These efforts are beginning to bear fruit, and we expect that our overall retention rate should improve in the quarters ahead.  Now let me discuss progress on our aggressive product road map for a post-pandemic world. In listening to our customers, we heard a consistent pain point, the need for a new type of live experience solution in the market that had all the branding, audience engagement and first-party data of our flagship live experience product, ON24 Elite, but also enable the audience to participate and live to a video to video discussions. That's why we recently launched our newest product, ON24 Forums, that joins our portfolio of experience products and unified engagement and data. This is an ideal experience for executive engagement, roundtable discussions, expert-led trainings and professional advisory groups. We are already seeing promising traction for Forums with our customer base, including a Q1 expansion deal with one of the nation's largest health care and insurance providers.  We originally landed this customer back in 2020 when they came to us with their top-down initiative to build a unified digital engagement strategy for their enterprise customers and individual members. Since then, we've grown our footprint within this customer, spanning a total of 7 business divisions and power their entire go-to-market digital engagement strategy from the lead gen and sales calls to their member enrollment and wellness programs. In Q1, we added a new business division in $100,000-plus deal that includes the entire suite of ON24 experiences, Forums, Elite, Breakouts, Go Live, Target and Engagement Hub, growing the account by 5x in ARR over 2 years.  Our ON24 Go Live product, which we recently launched, delivers the audience and participation of Forums, but at a larger scale for multi-session, multi-day virtual conferences. We have closed a number of deals and expect it to ramp in the coming quarters.  In addition to our 2 new live experience products, Forums and Go Live, we are continuing to enhance our always-on and personalized experience capabilities. Last month, we announced the acquisition of video software solution, VIBBIO, which will put video content creation in the hands of every salesperson and marketer to drive greater personalization and keep their ON24 content working for them longer and in new ways. VIBBIO will be first integrated with our Engagement Hub and Target products and deepens the value of having unified engagement and first-party data. We believe that our new products, along with our VIBBIO acquisition, provide us new use cases and buying centers to address and further evolve our platform for a post-pandemic world by extending ON24's footprint and additional sales and marketing use cases.  As the digital experiences expand across use cases, they are becoming more interconnected. This is important as the more experiences our customers can create and engage their audience with, the more first-person data they're able to collect and derive key insight and value from. In fact, with our portfolio of 6 digital experience solutions, each have over 20 engagements and conversion tools within them, the ability to generate and take action on your first-party data is even greater.  Now let me discuss our progress in driving multiproduct deals and bundling within the enterprise. Over the past months, we've been enabling our reps on a multiproduct sales motion and better integrating our solution consultant team into deals to architect a holistic digital strategy for customers. We are seeing early success with this motion. The number of customers with 2 or more products is currently in the mid-30s, and I'm optimistic that we will see an increase in this metric, especially with the recent launch of our 2 new products.  Let me share just 2 of the multiproduct wins. One of the world's leading semiconductor and software providers was seeking a better way to engage their audience of highly technical buyers. In Q1, the team put together an end-to-end strategy for this customer and closed a multiproduct deal, including ON24 Elite, Breakouts and Engagement Hub. The customer is now able to deliver ongoing educational content with the high-value customers and bring them together as a community. All the data is captured by ON24 Intelligence and ON24 Connect, providing the customers vital signs and they can use to drive upsell and cross-sell opportunities.  Another multiproduct win was with a leading HR and payroll services company, who was concerned with declining rates of engagement and demand for their top strategic accounts. To reimagine the digital experiences with greater interactivity and personalization, the customer purchased ON24 Elite and Target to build high-touch, high-value content journeys for their prospects. With ON24 Intelligence and Connect, they are able to understand the accounts with buying intent and surface those insights immediately to their sales teams. We believe that lending with multiple products allows us to access elevated levels of an organization and demonstrate the power of a unified digital engagement strategy.  Our multiproduct solutions are not just for the enterprise. In Q1, we saw a wave of fast growth SaaS companies in the upper end of our commercial business come on board. Here are three 50,000-plus wins. One of our wins was with a leading product analytics software company, who after their recent IPO, needed an upgrade from an event management point solution to a true digital engagement strategy. They purchased ON24 Elite and Engagement Hub and are using us to run their field marketing events and ongoing demand generation programs.  Another win came from a unicorn SaaS platform for employee experience, who wanted to consolidate all of their go-to-market engagement on a single platform with live, always-on and personalized experiences. We now power their dimension, product marketing, marketing operations and field marketing teams with our integrated solution that includes ON24 Elite, Breakouts, Engagement Hub and Target.  Finally, we added an emerging productivity platform who came to us to help supercharge their lead generation as they move to their next growth stage. Our ability to deliver ongoing webinar experiences, combined with interactive discussions and capture all the data along the way, is why they chose ON24 Elite and Breakouts. As these customers grow, we believe the need for our platform will, too. We've seen our customers continue to make long-term commitments to us as the percentage of our ARR and muliti-year agreements ended Q1 at the highest level ever and sequentially up from Q4 2021.  Finally, we are strengthening our partner ecosystem and integrations, further differentiating our platform and allowing us to gain operational leverage. With the launch of the ON24 Partner Network earlier this year, we are creating an ecosystem of leading solutions and technology partners and formalizing how we integrate co-market and co-sell together. We believe this ecosystem will broaden our reach, extend our product and service offerings and drive leverage in our go-to-market model. As I previously mentioned, our goal is to grow partner influence bookings over time to a 20% or higher contribution.  Over the past quarter, we have been enabling our partners on the ON24 platform, building more integrations and driving pipeline. In March, we held our Momentum Partner Summit, where we had over several thousand people registered across partners, customers and prospects. This quarter, we recently developed a more advanced integration with HubSpot that enables customers to fully leverage the first-party engagement data they generate from ON24 and providing more ways for sales and marketing to take action from our data.  One of our Q1 wins with a Boston-based biotech company highlight the potential of our Partner Network integrations. This customer is introducing a new drug to market and needed to rapidly build out their digital-first engagement strategy to engage and influence health care professionals for the first time, pass qualified leads to their sales team and showcase their advanced research and thought leadership content to the industry.  Our deep integration with Viva brought them to ON24 and resulted in a multiyear, multiproduct deal over $100,000, consisting of ON24 Elite, Breakouts, Engagement Hub and Target, to deliver an ongoing and differentiated set of first-party insights directly to the system that their sales reps use.  Before handing the call over to Steve, I wanted to take a moment to welcome our 2 new Board members. Tony Zingale brings 40 years of enterprise software experience, and his guidance will be instrumental as we continue to transform our sales operation to scale our go-to-market opportunity. Anil Arora is a fintech and marketing pioneer and brings over 25 years of experience in leading product, marketing and leadership across technology, financial services and consumer goods industries. I'm particularly excited by the new additions to our Board and the guidance they will provide as we evolve our platform to drive ongoing, continuous engagement across the customer life cycle. I'd also like to thank Holger Staude for his tenure on our Board and his contributions to our company over the years.  With that, I'll hand it over to our CFO, Steve Vattuone, to walk you through our Q1 results in more detail and provide our outlook.
Steven Vattuone: Thank you, Sharat, and good afternoon, everyone. I'm going to start with our first quarter 2022 results and will then discuss our outlook for the second quarter and full year 2022.  Total revenue for the first quarter was $48.5 million, representing a decrease of 3% year-over-year. Subscription and other platform revenue was $43.5 million, an increase of 1% year-over-year. Professional services revenue was $5 million, a decrease of 30% year-over-year and representing approximately 10% of total revenue compared to 14% in the year ago period. This decrease is in line with our expectations we provided last quarter.  Moving on to ARR. ARR represents the annualized value of all subscription contracts at the end of the period and excludes professional services and overages. Ending ARR was $167.7 million, an increase of 3% year-over-year. As discussed on our last call, a handful of customers who previously signed large expansions throughout COVID were up for renewal for the first time in Q1 and adjusted their contracts for their post-pandemic needs. The rationalization that took place was roughly in line with our previous expectations.  Towards the latter part of the quarter, we experienced softness in new bookings, particularly within EMEA, driven by the macroeconomic environment, which resulted in net new ARR below our expectations for the quarter. This will have a ripple impact throughout the rest of the year. We have seen our customers continue to make long-term commitments to us as a percentage of our ARR and multiyear agreements, ending Q1 at the highest level ever and sequentially up from Q4 2021.  Turning to customer metrics. Total customer count increased by 23 from Q4 of last year to 2,145, driven by new logo acquisition strength in the mid-market segment in a quarter which has historically been seasonally softer for us. We ended the quarter with 367 customers, contributing ARR of $100,000 or more, representing an increase of 13% year-over-year.  Before turning to expense items and profitability, I would like to point out that I will be discussing non-GAAP results going forward. Our non-GAAP results exclude stock-based compensation as well as certain other items. Our GAAP financial results, along with a reconciliation between GAAP and non-GAAP results, can be found within our earnings release.  Gross profit in the quarter was $36.6 million, representing a gross margin of 75%, which is a 4% decrease in the gross margin percentage year-over-year. We are investing in our public cloud infrastructure capabilities and growing our customer success teams to drive improved retention.  Turning to operating expenses. Sales and marketing expense in Q1 was $25.5 million compared to $22.2 million in Q1 last year. This represents 53% of total revenue compared to 44% in the same period last year. R&D expense in Q1 was $8.7 million compared to $7.2 million in Q1 last year. This represents 18% of total revenue compared to 14% in the same period last year. We have been ramping our investment in R&D as we expand our platform and bring new products to the market. G&A expense in Q1 was $8.1 million compared to $7.5 million in Q1 last year. This represents 17% of total revenue compared to 15% in the same period last year. Our G&A expenses have increased due to the costs associated with being a publicly traded company. Over time, we expect G&A expense to scale and decrease as a percentage of our revenue.  Operating loss for Q1 was $5.7 million or a negative 11.7% operating margin compared to operating income of $2.8 million and an operating margin of positive 5.5% during the same period last year. Net loss in Q1 was $6 million or $0.13 per share based on approximately 47.6 million basic and diluted shares outstanding. This compares to net income of $2.2 million or $0.05 per diluted share in Q1 last year, using approximately 42.2 million diluted shares outstanding.  Turning to the balance sheet and cash flow. We ended the quarter with $359 million in cash, cash equivalents and marketable securities. Cash used in operations in Q1 was $6.8 million compared to cash flow from operations of $3.7 million in Q1 last year. Free cash flow was negative $7.8 million in Q1 compared to positive $3.2 million in Q1 last year. Free cash flow margin was negative 16% in Q1 compared to positive 6% in Q1 last year. In Q1, we repurchased 964,895 shares at a weighted average price of $14.81 per share, utilizing $14.3 million. As of the end of Q1, we have utilized $21.5 million under the share repurchase program with $28.5 million remaining out of the $50 million authorized under the share repurchase program.  Now turning to guidance. Before providing our outlook, I'd like to share a few observations. We believe the current macroeconomic backdrop is uncertain, particularly in EMEA, where organizations are continuing to assess their post-pandemic digital budgets, which may continue throughout the year. Additionally, the decline in net new ARR in Q1 was greater than we originally expected, and therefore, will have an impact on revenue and subsequent quarter's revenue performance. With these factors in mind, we are introducing our Q2 guidance and updating our fiscal 2022 revenue guidance.  For Q2, we expect total revenue in the range of $47 million to $48 million. Professional services is expected to represent approximately 10% to 11% of total revenue, representing a year-over-year percentage decline in the low 30s. We expect a non-GAAP operating loss in the range of $8 million to $7 million and a non-GAAP net loss per share of $0.17 to $0.15 per share based on 47.6 million basic and diluted shares outstanding.  Moving to the full year. We expect total revenue in the range of $191 million to $195 million. Professional services revenue is expected to be approximately low double digits as a percentage of total revenue, representing a year-over-year percentage decline of low to mid-20s. We expect that Q1 marked the trough in the business and expect to show progress in net new ARR throughout the year. For Q2, we expect flat to very modest ARR growth from our Q1 ending ARR. We are maintaining our previous bottom line guidance and expect a non-GAAP operating loss in the range of $30 million to $27 million and a non-GAAP net loss per share of $0.64 per share to $0.58 per share using 48.1 million basic and diluted shares outstanding.  Also, I would like to note that the guidance I have provided incorporates the impact of the acquisition of VIBBIO, which we announced last month. As we have previously noted, the acquisition of VIBBIO will not have a material impact on our 2022 financial statements or cash balance and was funded with cash on hand.  With that, Sharat and I will open the call for questions. Operator?
Operator: [Operator Instructions]. Our first question today comes from Arjun Bhatia.
Arjun Bhatia: Perfect. Maybe I wanted to just start with one. I know, Steve, that you mentioned that the ARR decline in Q1 was slightly larger than expected. I'm wondering if you can maybe give us a view of linearity in the quarter. I know there's the differences between the seasoned cohorts and the first-time renewal cohorts. But as you look at January versus March and the macro environment, are there any differences that you can paint in terms of performance as the quarter progressed over the last 3 months?
Sharat Sharan: Let me take that, and Steve can jump in. So from a linearity point of view, there are two parts of this. One is the new ARR, and second is the churn ARR. When you look at the churn, Arjun, I think what we had guided was that we saw rationalization from a handful of larger accounts early that hit us -- that was going to hit us early in the quarter, and that happened in line with expectations. And then the months gone better, as we had projected. So this overall gross retention was roughly in line with our expectation with the highest had been in January.  In terms of new business, I think new business generally follows the linearity of January being slower than February and then March being a lot larger. What we saw was, we did not see as much of a pickup in March as we expected. We had several large deals that we saw that got paused and some got delayed and especially in EMEA. We are -- EMEA was an important growth vector for us last year. We had several large deals that were progressing there. I'll give you an example of a large chemical manufacturing company. We had a large 6-figure deal that we were working there. And then as the material cost and the price of gas went up, they paused that deal. So that's what we saw. So from a linearity point of view, March was not as strong from a new business perspective. Steve?
Steven Vattuone: Yes. And just to add a little flavor, we did actually go over the high end of our guide on revenue and did beat the bottom line. But as Sharat mentioned, they are -- they come in a little lighter than expected as EMEA was the largest contributor to that factor.  A little flavor on EMEA. In 2021, EMEA was 18% of our revenue and was actually one of the faster growing parts of the business. I think in 2020, it was 16% of our total revenue. In Q1, EMEA was 17% of our revenue. So we definitely saw an impact from the macro issues that we're seeing out there in the world.  Now as we mentioned, we do expect that Q1 will be the trough in the ARR, and we do expect to see improvements in the following quarters. We would expect to see better gross retention going forward. And additionally, with the launch of the new products, we would expect to see stronger expansion, upsell and new business.
Arjun Bhatia: Perfect. And then one more, if I can. Just as we reopen here and folks return to in-person events and in-person meetings, can you just give us a sense of what your customers are asking for from in-person and hybrid solutions and maybe where you are in being able to deliver on that with some of your newer capabilities across the in-person and hybrid landscape?
Sharat Sharan: Yes. Let me answer that, Arjun. First of all, what we have seen on our platform is extremely telling. The attendee engagement on our platform as measured by the length of attendance and the engagement tool interactions reached a record high in Q1. I mean the longest attendee spend for people on the platform. So we didn't see really any digital fatigue on our platform. We just -- we saw more engagement from the attendees over there.  Now I just want to be clear about one thing. Our virtual conference, which tends to be generally more one-off events, is less than 10% of our business. As we evolved our platform for the post-pandemic world, the 2 new products that we launched, ON24 Forums and ON24 for go live, our focus really is to build this sales and marketing, digital engagement platform that helps our customers capture first-party data, drive continued pipeline and engage with prospects. So whether they are doing a webinar series or they're doing customer advisory boards or they're doing roundtables or they're doing the hybrid virtual events or partner enablement, our focus is we have all the piece parts, we have all the interconnected experiences, but all of them drive first-party data. That's the solution based on hearing from our customers that we have provided for them. Our solutions, for the most part, are hybrid-enabled.
Operator: Our next question comes from Scott Berg of Needham.
John Godin: Great. This is John Godin on for Scott Berg. First, just looking at the revenue guide, the operating loss guide, just curious where are you taking out from the current incremental cost in the model. Do you see it as more of a permanent reorientation of the cost structure or maybe some temporary reductions related to the macro headwind?
Steven Vattuone: Yes, this is Steve. Let me talk about the puts and takes on the revenue guidance, which is -- and you were breaking up a little bit there, but I think that's what you were asking me. So the midpoint of the revised guidance, it is 195 -- I'm sorry, $193 million. That's compared to the midpoint of $202 million, which we provided previously. So it was a $9 million reduction on the top line. First, the macroeconomic backdrop in March did become more uncertain, especially in EMEA, and this may continue throughout the year. And at this point, we are assuming that it would all -- so as a result, we are expecting to see lower EMEA revenue this year. I made some comments earlier about EMEA as a percentage of revenue, but just to recap, in 2021, EMEA was 18% of our revenue, and it had been trending higher. In Q1, it would drop to 17%, and we're expecting softness in EMEA for the remainder of this year. So if it were to drop to, say, 16% of revenue this year from the 18% it had been 2021, that would equate to a 2% reduction in our revenue or approximately $4 million less in annual revenue on a $200 million run rate.  With the overall lower revenue to attach services to and the commentary on services I provided in the prepared remarks, you can assume $2 million or so of the reduction in the revenue guide would come out of the services line. Now the remainder of the reduction would be from a more cautious outlook we are taking as we get more visibility into near-term post-pandemic digital budgets. And we're also factoring in a little bit of additional macro risk on the churn into the revenue guidance we're providing.
Sharat Sharan: John, let me add to the question, if I may. I think one of the things that you mentioned was is this transitory. We believe that what we are seeing is transitory. We've been preparing the company for post-pandemic normalization. We believe on the churn side, which has been a large part of our focus for the last 4 quarters that we have hit the trough, going forward, we expect that, that will improve. The gross retention of our existing customer cohort, which is the largest it, has been in line. We had, had some down in there, but we believe that is under control. Similar to the first line, renewal cohort is smaller and we are seeing -- we expect to see better retention there.  So as we look at our business, we look at it from a gross retention, net retention and new business point of view. So if gross retention improves with the new products, we expect net retention to improve and then, of course, new business.  And finally, one other comment I want to make, we have -- ON24 has done well in good times and uncertain times because when the times get uncertain, companies are looking for a cost-effective way to drive pipeline and engagement. So that's why we believe that we are in a time that is transitory, and we -- our focus is to get back to pre-COVID levels of growth in due time.
John Godin: Great. And Sharat, you mentioned your customers are changing how they're using the platform a bit. I'm wondering if they can present a little bit more and maybe provide some color on how some of your new products are resonating here.
Sharat Sharan: John, you were breaking up a little. So I think your question was that your customers are changing, how they're using the platform and how you're evolving that. Is that right?
John Godin: Yes. Yes, correct. [indiscernible] some of your new product.
Sharat Sharan: Yes. So for the longest time, we had the live experience with the Elite platform, the Engagement Hub that took all that content and made it always on and then we had the personalized product. Then we also had a managed services virtual conference product and everything feeding the first-person data. But as we listened to our customers during COVID, I mean, they loved our engagement. They love our first-person data that help them drive revenue, but they were calling us out for, hey, we need this -- we need all your branding. We need all the customization, all your engagement tools, all the compliance and others, but we also need a lot more collaboration in the platform. We need people talking to each other as opposed to them being more in control that's why we launched ON24 Forums. And the product has just come out of the oven, and we've had one of the fastest growth in pipeline for that product.  Similarly, when we had the managed -- we had the virtual conference product, which was more managed services and required services, our customers are telling us, hey, Sharat, we need a simpler product, self-service for these virtual events that we can do roadshows and very simple self-service product. That's what we added with ON24 Go Live. And again, our focus is, John, is -- our focus is to consolidate all the different sales and marketing use cases for customers: webinar series, virtual events, customer advisory board, roundtables, partner enablement, one platform that a company can have with the right branding that drives their first-person engagement data.  So again, based on hearing from our customers, that's why we have made those advancements. And VIBBIO on top of this will allow us to add a lot more video capability into our platform, and that's why we made that acquisition.
Operator: Our next question comes from Shrenik Kothari of Baird.
Shrenik Kothari: Shorter than few. Pardon me for my bad throat. It's a follow-up to the earlier questions. If possible, could you please break down the top line guide or just kind of parse it out a bit to elaborate on the underlying factors? I know in terms of relative impact, still provided a good level of detail regarding Europe and how much of it was due to rationalization with a significant portion of large deal renewals because kind of more in line. But can you also comment on the general lengthening of the enterprise sales cycle dynamic that you mentioned last time? Is it still something which is kind of playing a role here?
Sharat Sharan: So I think you talk about two things. The sales cycle was the second question. The first question seems to be what we are seeing in terms of rationalization and others. So let me provide a high-level feedback. [indiscernible] as we previously had talked about, I mean, we talked about Q1 being the trough. The rationalization from the handful of larger accounts was in line with our expectation, expectations for it, okay? Similarly, the gross retention was roughly in line with expectations. That's why we've -- and going forward, yes, there may be plus and minus, but I expect that gross retention should roughly be in line with what we are thinking about. We believe that we've seen the worst of that -- worst of that.  Now when we talk about ARR was weaker, it was predominantly that we saw in March that some of these deals got paused, especially in EMEA, okay? Now we did expect post-pandemic budget normalization. We talked about this in the past. But the macro background became more uncertain, especially in EMEA. And the reason this is even more pertinent, EMEA was our fastest-growing area in 2021. If you will recall, we talked about investments that we're making in Germany and Southern Europe. We saw a good traction last year in technology, life sciences and manufacturing. So that's where we saw some deals paused. That being said, we are making significant improvements in our FY '22 initiative. We talked about improving our customer success function, the launch of new products and the partner enablement category.  Now you asked another question in terms of sales cycle. I think sales cycle in Q1, Shrenik, was consistent with what we saw in Q4. I think Q4 -- Q3 is when we saw some lengthening of the sales cycle, I think Q4, it normalized. So I think we were happy with what we saw in terms of sales cycle. 3 to 6 months, our sales cycle has gotten shorter. They're higher in the enterprise. We do expect that as we bring in more products, as we go higher in the organization, that the enterprise sales cycle may lengthen. But at least in Q1, we did not see that. But even if the sales cycle and the enterprise lengthens a little, it will be for larger deals, and those deals will have a higher retention profile.
Shrenik Kothari: Got it. Got it. Really helpful. Just one other quick follow-up. Sharat, on the multiproduct and new product adoption trends, I know it's early in the product life cycle. As you mentioned, you guys closed a number of these deals. Kind of seen one of the fastest rounds, as you said, regarding the new products pipeline. And a couple of examples that you share with the semis and the employee experience.  Now you mentioned mid-30s multiproduct mix compared to roughly, I think, 35% last quarter and an increase in mix going forward. So just like at a high level, where do you see this mix kind of growing to in the near term and then in the medium to long term with all these new product rollouts?
Sharat Sharan: Shrenik, I just want to make one clarification. I think the multiproduct adoption was not mid-20s last quarter. It was -- it stayed about the same, approximately the same. I just wanted to make that clarification that I heard that right.  I can't immediately comment on what it will be in the immediate term, but I am increasingly confident that as we consolidate the various sales and marketing engagement use cases, our target here is to get that number to 50% and greater, sooner the better. Because now we have 6 experiences that are feeding the first-party engagement data, Shrenik. And really, this also allows us an opportunity to experiment a lot more with price bundling within the enterprise, okay? So that's what we are very focused on right now. Our focus is to get that number to 50% as soon as we can.
Operator: Our next question comes from Brent Bracelin of Piper Sandler.
Hannah Rudoff: This is Hannah Rudoff on for Brent today. First one is just that glad that you're seeing that positive feedback on the new products you've introduced the last few quarters. I guess, how long until Forums and Go Live become meaningful drivers of revenue? And what does that path look like?
Sharat Sharan: Hannah, what is the last part of the [indiscernible]? I think first quarter, how long and sorry, I look... I didn't hear the last part.
Hannah Rudoff: How long until Forums and Go Live become meaningful drivers of revenue? And what does that path look like to get there?
Sharat Sharan: Yes. So just to provide perspective, Forums was just launched, and it's currently in very -- we've got trials going on. And as you know, Go Live we launched at the end of last year to get into kind of enterprise level of quality, took us about 60 to 90 days. It's early that's why we have not factored in these new products in our forecast. But my expectation is that within the next 90 days or so, we should start seeing some level of lift from these products. It's a very important part of our institution. I think in about a couple of quarters, we should be able to really start seeing some impact, but I do expect some incremental impact in about a quarter or so. The other thing I also want to mention is it's not only these products, but what it does allow us to really now basically, listening from our customers, have run sales and marketing, digital engagement platform allows us to consolidate those sales and marketing use cases, allows us to elevate the conversation more to a CMO and CRO level even more so. And I think that's the thing that is even more exciting to me.
Hannah Rudoff: Yes, that's great. That makes a lot of sense. And then second question. We're now over a month into Q2. I guess can you talk about what you're seeing in terms of pipeline build and demand generation so far this quarter?
Sharat Sharan: Yes. We are seeing good additions to our pipeline, especially for the new products that we talked about that we've seen one of the fastest start. And personally, you asked, because ON24 Ex, which is our flagship event, user conference is happening tomorrow, and thousands of customers and partners and prospects and partners have signed up for that. I invite you to join that. In Q1, I can't provide specifics, but we did see some softness in a couple of segments in our pipeline, and that's kind of reflected in our guidance. And is that helpful?
Hannah Rudoff: Yes. Yes, that makes sense.
Operator: As there are no further questions, I would like to turn the call back to Sharat Sharan for additional or closing remarks.
Sharat Sharan: Ladies and gentlemen, while the macroeconomic backdrop has become more uncertain over the past quarter, we are making progress against our key priorities and focused on execution. We believe that Q1 was the trough in the business and expect to see improvement throughout the year. We are confident in our strategy to help organizations unify all their digital engagement and first-party data and power all their digital experiences, live, always-on, personalized or hybrid, across their sales and marketing functions. One unified platform for demand generation, field marketing, customer advisory boards, product marketing and partner enablement.  Finally, I invite all of you to join our customer conference, the ON24 Experience, tomorrow, where you can learn more about our platform vision, hear firsthand from our customers and see the exciting product innovation in action. Thank you, everyone, for being on the call today.
Operator: Ladies and gentlemen, that concludes today's conference call. We thank you for your participation. You may now disconnect.